Operator: Good day and thank you for standing by. Welcome to the Q2 2021 SLR Investment Corp. Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advise that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Michael Gross, Chairman and CEO. Please go ahead.
Michael Gross: Thank you very much and good morning. Welcome to SLR Investment Corp.’s earnings call for the second fiscal quarter ended June 30, 2021. I’m joined today by Bruce Spohler, our Co-Chief Executive Officer; and Richard Peteka, our Chief Financial Officer. Rich, before we begin, would you please start by covering the webcast and forward-looking statements?
Richard Peteka: Of course. Thanks, Michael. I would like to remind everyone that today’s call and webcast are being recorded. Please note that they are the property of SLR Investment Corp. and that any unauthorized broadcast in any form are strictly prohibited. This conference call is being webcast from the Investors tab on our website at www.slrinvestmentcorp.com. Audio replays of this call will be made available later today as disclosed in our earnings press release. I would also like to call your attention to the customary disclosures in our press release regarding forward-looking information. Statements made in today’s conference call and webcast may constitute forward-looking statements, which relate to future event or our future performance or financial condition. These statements are not guarantees of our future performance, financial condition or results, and involve a number of risks and uncertainties, including impacts from COVID-19. Past performance is not indicative of future results. Actual results may differ materially as a result of a number of factors, including those described from time-to-time in our filings with the SEC. SLR Investment Corp. undertakes no duty to update any forward-looking statements unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website or call us at 212-993-1670. At this time, I would like to turn the call back to our Chairman and Co-CEO, Michael Gross.
Michael Gross: Thank you, Rich. Good morning and thank you for joining us. For the second quarter of 2021 SLRC earned net investment income of $0.37 per share consistent with the first quarter of 2021. Net asset value per share for the quarter ended June 30th was $20.29 representing a modest increase over the prior quarter. We attribute the resiliency of our portfolio to our conservative underwriting, our focus on first-lien fee secured loans to large upper middle market businesses and our cash flow segments and our specialty finance investment verticals which offer attractive structure protections and yields. At June 30th, over 99% of our comprehensive investment portfolio was invested in senior secured loans and 82% of the portfolio’s fair value was allocated to specialty finance investments. Against the backdrop of the continued economic rebound the U.S. middle market has reflected a more favorable economic climate, punctuated by resurgence and sponsor activity and a robust pickup in M&A activity. We expect supportive finance -- some financing markets record amounts of private equity dry powder and potential future changes to the U.S. tax structure to drive record levels of deal activity in the second half of 2021. We are correspondingly seeing a significant increase in investment commitments post-quarter end. We remain modestly levered at 0.73 times net debt-to-equity as of June 30th. Looking forward, we expect to deploy much of our $740 million of low cost available capital towards new investments across our lending strategies. And our cash flow lending business we are seeing an increase in the size of companies seeking direct financing would attributed to financial sponsor desire for speed and certainty of execution. The scale of SLRC’s investment advisor and its ability to hold up to $200 million of a given investment enables us to participate in these upper middle market financings, which we continue to believe are better positioned to protect capital in the event of future economic disruptions. Our specialty finance teams are also seeing increased deal flow as more companies look to pledge collateral to obtain working capital to fund growth initiatives. The breadth of our investment strategy means that we only need to see modest growth from each vertical to drive meaningful portfolio and earnings growth. Given our sizable third quarter pipeline, we accept portfolio growth in the third quarter to bring SLRC’s net leverage within our target range of 0.9 times to 1.25 times. At this time, I’ll turn the call back over to our CFO, Rich Peteka to take you through the second quarter highlights.
Richard Peteka: Thank you, Michael. SLR Investment Corp.’s net asset value at June 30, 2021, was $857.4 million or $20.29 per share, compared to $856.2 million or $20.26 per share at March 31, 2021. At June 30, 2021, SLRC’s on balance sheet investment portfolio had a fair market value of $1.50 billion in 101 portfolio companies across 27 industries. This compares to a fair market value of $1.57 billion in 105 portfolio companies across 27 industries at March 31, 2021. At June 30th, the company has $670 million of debt outstanding, with leverage of 0.73 times net debt-to-equity. When considering available capacity from the company’s credit facilities, together with available capital from non-recourse credit facilities that SLR Credit Solutions, SLR Equipment Financing and Kingsbridge, SLR Investment Corp. has over $740 million to fund future earnings growth. Moving to the P&L, for the three months ending June 30, 2021, gross investment income totaled $35.6 million versus $35.9 million for the three months ended March 31st. Expenses totaled $20.1 million for the three months ended June 30th, compared to $20.4 million for the three months ended March 31, 2021. Accordingly, the company’s net investment income for the three months ended June 30, 2021, total $15.5 million or $0.37 per average share, compared to $15.5 million or $0.37 per average share for the three months ended March 31, 2021. Below the line, the company had net realized and unrealized gains for the second fiscal quarter, totaling $3.0 million versus net realized and unrealized gains of $6 million for the first quarter of 2021. Ultimately, the company had a net increase in assets resulting from operations of $18.6 million or $0.44 per average share for the three months ended June 30 2021. This compares to a net increase of $21.5 million or $0.51 per average share for the three months ended March 31, 2021. Finally, our Board of Directors declared a Q3 2021 distribution of $0.41 per share, payable on October 5, 2021, to shareholders of record on September 23, 2020. And with that, I’ll turn the floor over to our Co-CEO, Bruce Spohler.
Bruce Spohler: Thank you, Rich. SLRC’s strong portfolio performance supports our underwriting thesis of investing at the top of the capital structure in first-lien cash flow loans to upper mid market borrowers in non-cyclical industries, as well as allocating a significant portion of our exposure to collateralized loans to our specialty finance verticals. At quarter end, our portfolio was just under $2 billion and remained highly diversified, encompassing 600 borrowers across 75 industries. Our largest industry exposures were healthcare, diversified financials, life sciences and retail asset-based loans. The average investment per issuer was approximately $3 million or 0.2%. Over 99% of the portfolio consisted of senior secured loans. Of those, 95% were first-lien and only 4.3% were second-lien. Of those second-lien loans 2.4% were cash flow and 2% were asset-based loans. At quarter end, our weighted average asset level yield was 9.8% consistent with the prior quarter. By focusing on our niche commercial finance verticals, we’ve been able to maintain asset level yields close to 10%, despite decrease in LIBOR, as well as spread compression. Notably, we’ve been able to maintain these yields, while actively reducing our exposure to second-lien cash flow loans. At June 30th, the weighted average investment risk rating was just under 2 based on our 1-to-4 risk rating scale, with 1 representing the least amount of risk. Total originations for the second quarter were $173 million and repayments were just over $300 million, resulting in a net portfolio of approximately $2 billion. In addition, we had $82 million of unfunded investment commitments outstanding at quarter end, which we expect to be drawn down in future quarters. Now, let me provide an update on each of our investment verticals. SLR sponsored cash flow finance, at quarter end, our cash flow portfolio was approximately $340 million or 18% of our total portfolio. We invested across 18 borrowers with an average investment of approximately $20 million. The average EBITDA of our SLR cash flow portfolio was $80 million, consistent with our focus on upper mid market larger borrowers. During the second quarter, we made $63 million in new cash flow commitments of which $48 million was funded into new and existing investments. We experienced repayments of $40 million. As Michael mentioned, we have been able to take advantage of the broader scale the SLR platform to underwrite larger hold positions in first-lien cash flow loans to upper mid market sponsor-owned companies. Given the sponsor communities preference for partnering with just a few lenders on each transaction, each large hold sizes, SLRC would not be able to participate in these financings without the broader capacity of the SLR platform. We are increasingly committed to delay draw acquisition lines of credit that are used by borrowers to fund future acquisitions. These transactions offer a prudent opportunity for SLRC to grow its investment and establish credits with existing financial covenants. At quarter end, we had $50 million of unfunded cash flow commitments, which we expect to be drawn down in future quarters. We’re also seeing robust new deal activity in our cash flow protocol and expect to meaningfully grow this segment during this third quarter. Our asset level yield for cash flow loans was 8.4%, slightly below the prior quarter. Now, let me turn to asset-based lending, SLR Credit Solutions. At quarter end, the portfolio for asset-based lending was $390 million, representing approximately 20% of our total portfolio. The weighted average asset level yield was 10.3%, compared to 10.5% the prior quarter. During the quarter, we funded approximately $27 million of new loans and have repayments of $100 million. Looking forward, the pipeline in asset-based lending is robust. For example, retailers and the core competency of this team are actively exploring alternative financing solutions at an active rate following the challenging 2020. For the quarter Credit Solutions paid SLRC a cash dividend of $5.5 million. Now let me turn to Corporate Leasing, our Kingsbridge platform. We are now nine months into our investment in Kingsbridge and are extremely pleased with the results. Credit quality of the portfolio remains strong and originations during the second quarter were setting. At quarter end, the highly diversified portfolio of leases totaled approximately $590 million, with an average funded exposure of $1.3 million per obligor. The portfolio was 100% performing, with a large majority of Kingsbridge portfolio invested in assets that are leased by investment grade borrowers. For the quarter, Kingsbridge pay the dividend to SLRC $3.5 million, which is an increase from $2.75 million in the prior quarter. This equated to a 10.2% annualized yield on cost. When we include the interest on our $80 million loan into Kingsbridge, gross income from Kingsbridge for the second quarter was just over $5 million. Now, let me turn to Equipment Finance, as reminder, including our Equipment Finance business, our financing held both directly on our balance sheet, as well as in our subsidiary SLR Equipment Finance. For the second quarter, strategy invested $24 million and had repayments of $31 million. At quarter end, the portfolio totaled approximately $314 million. It was invested across 104 borrowers with an average exposure of $3 million. Equipment Finance asset class represents 16% of our total portfolio, 100% of their investments are first-lien loans and for the second quarter the yield on this portfolio was just under 10%. For the second quarter, investment income from this portfolio totaled $4 million. The rebound in economic activity that started last year and has continued this year has been supportive of the performance of our Equipment Finance portfolio. We are seeing equipment valuations return to their pre-COVID levels and credit quality of the borrowers improving. Our team is currently focused on growing the portfolio. Now, let me provide an update on our life science business. At quarter end, this portfolio totaled just over $270 million, consisting of 15 borrowers with an average investment of $18 million. In total, this portfolio represents 14% of our comprehensive portfolio. During the second quarter, the team committed to $11 million new investments, of which $6 million has been funded. Repayments and amortization totaled $65 million, which included the repayment of one investment of $50 million, which generated over 13% unlevered asset level IRR. During the pandemic, our life science portfolio experienced higher -- lighter churn that is typical, as repayments started occurring at a more normal cadence this year, realization fees and other income associated with these loans will become more recurring and consistently benefiting our earnings. At quarter end, SLRC had $22 million of unfunded life science commitments, which are available to borrowers upon reaching certain milestones. These may be drawn to continue to find SLRC’s life science portfolio growth. The weighted average yield on this portfolio was just over 10%, which excludes any success fees and warrants. In conclusion, SLRC’s portfolio activity represents a continuation of the investment themes that have been driving our portfolio over the last few years, focusing new origination activity on first-lien cash flow loans to portfolio companies and defensive industries. Increasing our investments in specialty finance assets, we’re able to get tighter structures and more attractive risk adjusted returns and growing alongside our portfolio companies by committing to acquisition lines, which may fund over the next few quarters. Across all of our asset classes, including cash flow, we are seeing a larger volume of quality investment opportunities than we have seen in a number of quarters. This uptick is reflective of the solid economic rebound and increased middle market sponsor activity. The current environment is attractive and provides a great opportunity for us to grow our portfolio throughout the remainder of this year. Given our sizable third quarter pipeline, we expect this growth to bring our net leverage within our target range 0.9 to 1.25. Now let me turn the call back to Michael.
Michael Gross: Thank you, Bruce. In closing, we are optimistic about our earnings growth potential and the opportunity set across each of our investment verticals. With the economic recovery in full swing and SLRC’s portfolio on solid footing, we’re focusing upon our available capital into attractive investment opportunities. The breadth of our investment strategy will spend cash flow, ABL, life science lending in addition to Equipment Financing and Corporate Leasing, means that modest activity in each vertical can aggregate meaningful overall portfolio growth. We also believe that we’re still in the early innings with substantial runway as financial sponsors deploy record amounts of dry powder and more larger businesses we prefer to lend to direct financing over syndicated debt markets. These industry tailwinds combined with the scale of our investment advisor should benefit SLRC investors through greater access to upper middle market cash flow investment opportunities, which as of last year, has proven are better positioned to protect capital than most smaller companies. Now that we’re including incentive fee catch up, every incremental dollar of income is highly accretive to shareholder returns. We have access to ample low cost capital with which to fund portfolio growth. As we continue to grow the portfolio, we believe net investment income will ultimately returned to fully covering the dividend. In July, our advisor announced that has -- they have completed initial closings of over $480 million in equity commitments for its private healthcare lending fund, capitalizing on our strength and deep experience in healthcare lending industry across cash flow, ABL and life science investment strategies. With anticipated leverage, this fund adds over $1 billion of investable capital to our platform. Our pipeline of healthcare investments is strong. Due to industry diversification targets, our platform has originated more healthcare opportunities than SLRC can handle on its balance sheet. The addition of the private healthcare fund enables the SLR platform to continue providing full capital solutions of $200 plus million, which benefits SLRC to increase diversification within its healthcare portfolio and a steady stream of new investments into which we can invest. At 11 o’clock this morning, we’ll be hosting an earnings call for the second quarter results of SLR Senior Investment Corp. or SUNS. Our ability to provide traditional middle market senior secured financing of this vehicle continues to enhance our origination team’s ability to meet our client’s capital needs and we continue to see benefits of this value proposition in our deal flow. We thank you for your time. Operator, could you please open the line for questions?
Operator: [Operator Instructions] The first question comes from the line of Bryce Rowe with Hovde.
Bryce Rowe: Thanks. Good morning. Appreciate you taking the question here. Bruce and Michael just wanted to try to frame up the projected third quarter activity. It sounds like a good portion of it will come from the sponsor finance business, but curious how we should think about the mix of third quarter activity in terms of the sponsor finance, ABL and possibly the life sciences vertical?
Michael Gross: Yeah. I think we expected to be more heavily weighted this quarter towards both cash flow, as well as ABL. Life sciences active, but as you know, it’s a smaller strategy. So I just think magnitude wise, it will be driven more by cash flow and ABL in terms of the current pipeline. But activity level is there across actually all of the strategies.
Bryce Rowe: Okay. That’s helpful. And then wanted to -- maybe a follow-up to some of the prepared remarks around the ABL strategy, you talked about, obviously, a robust pipeline. The portfolio from a comprehensive perspective was down here in the quarter. And you noted a dividend of $5.5 million on the equity investment in that vertical. So as we think about that, that pipeline being robust and maybe converting to fundings. How should we think about that, that dividend coming into the BDC, the $5.5 million versus what had been, I guess, $6 million previously?
Michael Gross: That’s a great question. As you know, this vertical tends to be a little bit variable quarter-to-quarter, over the course of a year it’s been pretty consistent, but quarter-to-quarter can vary based upon the short duration of the assets, what’s your booking when you’re generating prepayments. So we try to smooth this out. I think this is a good level to assume for the moment based upon what we’re seeing.
Bryce Rowe: Okay. And then maybe one more for me, on the cash flow side of things, you’ve noted larger companies that you’re lending to average investment of $20 million. The expect hold sizes to kind of go up within that vertical kind of given the increase scale within the platform and maybe the private equity sponsors being more active and looking at more M&A opportunities?
Michael Gross: Yes. I mean, the hold size historically were small, because if you know, we had been de-emphasizing cash flow, not really liking what we saw, given the frothiness in the market pre-COVID. Coming out of COVID, it -- maybe it’s helpful to step back for a moment. What we do in cash flow, like, our other strategies. It’s a niche for us. We’re not abroad a sponsor backed cash flow lender. We tend to focus on industries that have been very stable, high free cash flow generative, staying away from capital intensive sectors between healthcare, financial services, software, business services, that 90% of our portfolio. So we’re not in every sector within cash flow. And those sectors have been performing incredibly well and prove themselves to be resilient during COVID and so we’re seeing a lot more investment activity there both on the PE side, as well as therefore on the credit side. So that’s really what’s driving our investment activity. And yes, holds are increasing, because we want to take our exposure up and we have the increased scale of a platform to be able to do so not only within SLR, but to make the platform relevant to the borrowers taking down $150 million, $200 million holds. So we expect hold to go up to your point and increase in our exposure to the sector, within those core industry groups that have proven themselves to be resilient and where we’ve been investing for years.
Bryce Rowe: Okay. That’s it for me. Appreciate your time.
Michael Gross: Thank you.
Operator: [Operator Instructions] The next question comes from the line of Ryan Lynch with KBW.
Ryan Lynch: Hey. Good morning. I just have one question today. Over the last several years, you guys have really done a great job of building out your lending business to include different lending verticals, which has provided a lot of diversification on the asset side and that portfolio serve really well during COVID, you guys have also raised additional funds outside of the BDC, which is allows you to increase your commitment size and relevance, while keeping diversification at SLRC, but all of that really hasn’t translated, all that building out of the platform really hasn’t translated into much portfolio growth at SLRC. There’s been about 3% total growth in net portfolio growth of the portfolio in the two years prior to COVID and there’s been no organic quarterly grow post-COVID, obviously, outside of the Kingsbridge acquisition, so there just hasn’t been any net growth post-COVID across your portfolio. So I know you said there’s a strong pipeline for the third quote quarter and you expect to get within your targeted leverage range. But my question is, as a platform, can you generate significant consistent organic net portfolio growth going forward? And I assume the answer to that is going to be, yes. And if that is the case, why -- and what would have to change versus what we’ve seen in the data in the past?
Bruce Spohler: So I think you hit the nail on the head and to some extent answered your own question. We have grown by adding verticals in and of themselves, bring capital to the table that we have invested in these verticals. And importantly, as you appreciate Ryan, having followed us for many years, many of these verticals are very stable, less transactional, and so we don’t face that headwind some of the asset classes, such as cash flow that are very transactional, short duration assets driven by M&A exits, Once the business tends to perform, you get repaid on your loan. So Kingsbridge is a great example. As you know, we had been a lender for a number of years, brought that platform on late last year, deployed over $200 million of capital. We view that as permanent deployment that we will then grow as a business grows. Now it’s not a high grower, but it’s a steady eddy consistent growers. It’s already proven. And importantly, those are long duration assets that are the less transactional, the average duration there is five years. And so that’s kind of a permanent piece of deployment here that is less facing those headwinds of constant churn as we try to grow the portfolio to your question. So I think as we look at it, we have a number of verticals through which to grow. As Michael mentioned, we are seeing growth in all of them coming out of COVID right now, given the economic climate and that’s obviously nirvana. We don’t count on all of them growing at the same time. We view ourselves as allocators of capital to the segments that offer the best risk adjusted returns. But I think on one hand, we feel like they have incredibly strong stable foundation, and yet, we’re telling you, we’re also seeing growth right now across the portfolios. Again, there is a time to grow and there is a time to get repaid in lending, as you know based on where you are in the credit cycle, but we feel that we are incredibly well-positioned for prudent growth.
Michael Gross: Yeah. The other color on growth is, which we don’t factor in and you can’t model in is, we are active requires, but that’s a line of business for us. And we have a team that is dedicated to finding new opportunities and that’s kind of a step function. I mean, we have an active pipeline today, can’t predict if when something happened, but in all likelihood given our experience and our desire, we’ll be adding other platforms, which to Bruce’s point as different layers of kind of permanent funded capital that’ll generate attractive returns.
Ryan Lynch: Okay. I mean, where would you add -- follow up on that? I mean, where would you guys like to see given that you guys are viewing early in sort of an economic recovery today as an opportunity to grow, which is what you guys said. Where would you guys like to see those cash flow originations that SLRC holds get to, because it’s -- they have been fairly small over the last several quarters and then prior to COVID, I understand you guys were time to get out of certain area and get out of some more sub-debt and now you guys are seeing that as an area that you guys want to be growing? What can those quarterly origination numbers and the cash flow lending that SLRC specifically holds? What do you think that can get to you on a quarterly basis or sort of like an annual basis, because I know quarter-to-quarter can be lumpy?
Michael Gross: Look, again, to your point, it can’t be lumpy, it’s hard to predict repays. Our average hold will go up, because the facilities that we’re doing are going up. If we do $100 million our facility, the hold size for SLRC is probably around $20 a million, if we do 20 more facilities, close to $50 million. We don’t put any constraints or budgets in place on the cash flow originating team. With same putting [ph] dry powder we’ll take whatever opportunity we see that makes sense. So it’s really a hard question to answer, because we have all these different verticals. We don’t sit here and provide budgets and guidelines to each vertical, it’s more like show with you what the opportunity is and we’ll invest in the best risk quarter we can say.
Richard Peteka: And I think one of the points that’s worth noting Ryan is, our team is agnostic. They’re out sourcing from the sponsor community loans. They may go to a particular issuer that’s owned by a sponsor, where we think the best solution is an asset-based solution. Increasingly, we’re finding PE firms that are in healthcare migrating into earlier stage life science businesses that historically were dominated by venture capital firms. So for us, we don’t look at it, as Michael mentioned, in terms of, how do we grow the capital book versus the ABL book versus the life science book. They’re all doing one thing. We lend to middle market U.S. corporates. And then what we do is, our origination team is well versed across these strategies. The underwriting expertise is definitely specialized within those verticals. But the sourcing network is broad based and our head of originations is out there with his team offering all of our products. And it may be owned by a sponsor, it may be owned by venture capitalists and may be owned by an entrepreneur. But we don’t segment our business that way. We are just looking at the best risk adjusted return for a given borrower. So it’s a different strategy. It obviously has helped us on the risk mitigation side by having multiple ways to underwrite risks for U.S. corporate borrowers.
Ryan Lynch: Yeah. Yeah. I totally understand that kind of one approach, the reason I was focusing on the cash flows that seems like an area that was deemphasized in the past and now you guys are starting to emphasize that more given where we got in the economics cycle. So…
Michael Gross: Yeah.
Ryan Lynch: … appreciate the discussion today. That’s all for me.
Richard Peteka: Thank you.
Michael Gross: Thank you.
Operator: The next question comes from the line of Robert Dodd with Raymond James.
Robert Dodd: Hi, guys. I just kind of focusing on that pipeline outlook. Again, I mean, obviously, for cash flow and asset-backed, you both -- you characterize those as robust for the cash flow along with obviously your healthcare fund. It sounds like healthcare may be a good chunk of that robust activity going forward. Obviously, on the asset base side healthcare Crystal used to be I think larger, it’s been shrinking. You’re pointing at maybe retail is where the asset-backed could grow in the near future. I mean, has there been any shift in the market away from at the margin, away from asset-backed healthcare towards cash flow healthcare? And is that kind of dynamic going on? I mean, it would go to why you raised a fund for healthcare, but is there a dynamic shift there in the market right now?
Michael Gross: No. Actually our -- this -- just to clarify. We do -- we are active in healthcare asset-backed lending, both receivables, back financing, which is over at SUNS, our sister BDC to our healthcare ABL segment, as well as Equipment Finance in the healthcare sector through Kingsbridge. But the asset based grew -- I know we have a number of them, but the asset based group here at SLRC really is -- healthcare is one sector, they don’t do much and they kind of source those for the rest of the platform. They have always been very focused on retail and because you have inventory of finished goods very liquid collateral, which is their key underwriting thesis is what is liquidation value? And then how liquid is it if we need to sell the assets in order to get repaid. That’s rarely the case. But that is the underwriting thesis. So retail has been going back to their roots, 20 plus years ago, how they got started and it’s been not the only, but always a core segment of their business and it’s been increasingly active coming through COVID as you can imagine coupled with between lockdowns, as well as online headwinds as businesses, retailers figure out how to survive in this less brick-and-mortar environment. So they’ve been very active there and it’s been pretty consistent.
Robert Dodd: Got it. Got it. Thank you. And then looking at the other two, obviously, Equipment and Kingsbridge, which you said, on the one side, origination steady or looking to grow, but didn’t use robust and that’s not a word you use very often anyway. But can you give us any color on that? I mean, obviously, we know that our supply chain issues out there when it comes to Equipment, good luck, trying to buy call right now. Separate, I mean, how -- is that -- what sounds to be relatively more moderate expectations for that -- those two segments in the near-term. Is that supply chain related or -- sorry go ahead.
Michael Gross: Yeah. No. That’s a good question. So just to clarify, Equipment Finance segment is really mission critical equipment for small borrowers and Corporate Leasing, Kingsbridge is equipment for larger investment grade borrower. The both segments have to your point been affected by supply chain disruption. So they’re getting orders, but again, our fundings don’t occur until the equipment is delivered and those have been pushed off in some cases till next year. So, it’s good pipeline, winning business, but not funding it, because the supply chain has delayed those deliveries. Stepping back from that what hopefully is a timing issue and we will correct itself over time here. Stepping back, both of those segments are not sponsor driven, M&A driven acquisitions. This is clearly internal borrower sitting down and thinking out, what is their CapEx need and do they want to buy or lease. And those are smaller transactions and are lead itself to kind of a steady drip of growth, rather than huge volumes quarter-to-quarter. So that’s why our comments are tempered in terms of their growth, not that they’re not growing, but the nature of the asset class is different from the M&A driven asset classes such as cash flow and ABL.
Robert Dodd: Understood. Understood. So on those two areas, maybe taking the robust word out of it. How -- what kind of contrast would you draw between your orders right now to your point, like the orders and delivery are different things? But deliveries may be moderated near-term with the supply chain, but how would you qualitatively describe kind of the pipeline outlook like the interest level coming in there, even if the equipment isn’t available yet?
Michael Gross: Strong, I would say strong, people are looking to deploy capital coming out of COVID and are obviously need equipment to fund their growth at the business level, so it’s strong.
Robert Dodd: Got it. Thank you.
Michael Gross: But the only other thing I would just say real quick on those two segments is, these are monthly amortization payments asset classes. So you always have a steady slow, but steady headwind of amortization of those loans. So, unlike cash flow where there’s very little amortization until the deal is repaid, here you always have a steady drip of growth and a steady drip of repayments, that’s the nature of Corporate Leasing.
Robert Dodd: Understood. Thank you.
Michael Gross: Thank you.
Operator: The next question comes from the line of Mickey Schleien with Landenburg.
Mickey Schleien: Good morning, Michael and Bruce. Hope you’re well?
Michael Gross: Good morning.
Mickey Schleien: I want to -- yeah. Good morning. I just want to follow-up, I don’t want to beat a dead horse. But on the cash flow lending segment. I appreciate that you’re excited about the pipeline, but everything I’m hearing is that, terms in general are if not, at least at pre-COVID levels, probably even tighter than pre-COVID levels. So is there something about the solar platform that’s providing you certain opportunities in cash flow lending, that are more attractive today, as opposed to what was available in a very dislocated market six months or nine months ago?
Michael Gross: So, I let Bruce comment on the kind of the terms again the current market, but just to step back, Mickey. So we as a team sat down last year around this time, and said, yeah, we see spreads winding out and terms little better. But the big thing that we’re still missing in capital loans back then was there was no call protection. And so, we were faced with really asymmetrical risk reward. If we were right and the market did pick up and did well, then those loans that were put on at attractive spreads would be called out the minute the markets tightened, which is what happened. Loans that were done last summer, at quote-unquote, widening spreads were taken out in the first and second quarter this past year, because spreads tightened. So we were faced with the choice of, yeah, we could put some money to work, make money for six months, if we were right. But if we were wrong and the market did not recover, and COVID continued to be as bad as it was, then we would have really regret in making those loans and we’d be underwater. And so, we chose not to be aggressive in the face of being able to make money for six months versus potentially losing money. That’s changed. We can see light at the end of the tunnel. We see it -- we’ve seen it for a few months now. And so that’s why from our perspective, our activity has picked up dramatically. Yeah, terms are still not ideal, but we are getting covenants in the things we’re doing. We’re still incredibly picky. We’re not looking to put out $1 billion a quarter. We are focused on industries and sponsors that are willing to accept having some structure in the transaction. So they tend to be more complicated situations, more complicated industries, companies that are kind of evolutionary, meaning that they’re acquisitive and are growing, and where the owners want part -- lender partners who will grow with them and be flexible.
Bruce Spohler: Yeah. I think just to add to that for a moment, Mickey. I guess maybe the best analogy is, you look at our life science business. As we are only really funding the late-stage life sciences companies that are either through Phase 3 and in commercialization or close to it. There’s a whole other business in life science lending earlier stage, preclinical, Phase 1, there’s drug royalties, there’s a lot of ways to play, life science investing. But our niche is the late stage where we feel it is less risky and we still can get an attractive return for our capital. I think as we approach cash flow is very similar, to Michael’s point, we play within a niche within cash flow. We are not broad based cash flow lenders. We’re not going to play the economic recovery. We’re not going to go into building sectors, anything cyclical. We have four industries, business services, healthcare, financial services, recurring software. That is 90% of SLRC’s cash flow portfolio. So we’re very niche within cash flow. And not surprisingly, given our conservative underwriting posture, these are sectors that are high free cash flowing and are very resilient through cycles, and were resilient last year. So you think about it, given the resiliency of those sectors, it’s part of why our portfolio performed so well last year is that, they are now attracting equity, because people see these as great businesses that now we’re poised for growth, a lot of tuck-in acquisitions, both in healthcare, as well as we’re seeing an insurance brokerage, for example. And so, they’re attracting new equity capital, which wants credit capital alongside that to fund it and so that’s really what’s driving it. To Michael’s point, the terms in your point, Mickey, the terms are no better, but we do get covenants. These are complicated structures. There is a little bit of a complexity premium. There’s a little less competition, because you actually need industry expertise. The sponsor is less focused on the last turn of leverage or the last 50 bps of price reduction and more focused on having people that understand the industry, the borrower and can grow with them. These businesses that $100 million of EBITDA can go to the BSL market, as you know. But yet they choose to go to the private market. Why, because they want certainty of execution and knowledge of the company and the industry from their borrowers. And so that’s really what is driving our ability to grow cash flow right now is a combination of the industries have proven themselves to be very resilient. They’re attracting a lot of private equity and they’re looking for lenders with expertise.
Mickey Schleien: I appreciate that, Bruce. So if I’m understanding correctly, just to make sure we’re on the same page, terms in terms of leverage and spreads may be tied to pre-COVID levels, but it’s the documents and the covenants that are better today than they were, let’s say, a year or two ago.
Bruce Spohler: Well…
Mickey Schleien: And that is what’s attracting you within the niches that you operate in?
Bruce Spohler: I would say the fundamentals of the businesses are more proven and attracting more capital, which drives activity. To your point, we’ve always had some covenants in these sectors. These are just very active sectors coming out of COVID. And on the margin, you get a little bit better price never or not. But our strategy is to underwrite the risk and the fundamentals and then charge what we can as much as we can. But we get to barbell that with our specially finance verticals in SLRC that are higher yielding and blend out to that 10%. So whether a capital loan is at 7% or 7.25% or 7.5%, sure 7.5% is better, but it’s not going to drive our portfolio yield on balance, because of the weightings of our portfolios to especially finance alongside the cash flow. But, yes, the terms are better, but the fundamentals are strong and the activity is high.
Richard Peteka: It’s also important to keep in mind that because we are -- our liabilities are so much funded today by our fixed rate, invest grade paper, our incremental borrowing for new loans are coming from our bank facility, given more LIBOR is today and what our unused fee is, our net cost on additional funding is 1.75%. And so when we’re putting on these loans at decent spreads, it’s significant accretive to earnings for us.
Mickey Schleien: Understand. That’s it for me this morning. Thank you for your time. I appreciate it.
Michael Gross: Thanks Mickey.
Bruce Spohler: Thanks, Mickey.
Operator: The next question comes from the line of Finian O'Shea with Wells Fargo Securities.
Finian O'Shea: Hi, everyone. Good morning. Just to follow-on with the dialogue just then with Mickey. Michael, I think, you just outlined that issuers are looking for lending partners that are willing to grow with them and be flexible. Isn’t that really sort of the opposite of you guys? I don’t say that in a negative way. Obviously, we want you to be credit discipline, principle disciplined. But tying this all together with the whole full sustainability of the growth of your lending book? It feels like you’re only willing to engage in the market for a pretty short window of the credit cycle, which is right now we’re on the rebound post-COVID, presumably if things continue in six months, you’re not going to like the market. So how do you sort of contend with or do you view yourself as someone sponsors view as a lending partner that’s always there, given that, for example, you’re not over the past year when perhaps they needed you most?
Michael Gross: Yeah. So that’s a great question. But just to get a little bit more granular. We are always there for sponsors in our sectors that we lend into. So if -- we’re in healthcare Finian, we’re dealing with the top tier healthcare PE firms. We are there through thick and thin with them. And we get our diversification by investing across their portfolio companies, rather than by being with 50 different sponsors. We’ll be with 10 phenomenal healthcare sponsors that never lose money for the equity, which is probably a good place to be as a lender. So we are incredibly consistent, but we’re consistent within our core competencies. We’re not to your point going to try to be the one-off lender on a business that is, again, perhaps, is playing the recovery. We stay away from that we stay away from capital intensive businesses. We don’t do retail other than on an ABL basis. So we spend time with sponsors who are active in the sectors that we’re comfortable with and they tend to be very resilient through the cycle. So we’re not in and out to your question. It’s more about what is the level of activity in that -- in those core sectors. And then, obviously, we have the benefit of having other segments beyond cash flow to drive the portfolio of growth.
Finian O'Shea: Okay. That’s very helpful. And just a small follow-up on the pipeline, you seemed pretty optimistic about the pipeline, which would tell us that, it’s probably very real and right in front of you presumably. Can you give us any color on what the spread or yield looks like on your pipeline right in front of you?
Michael Gross: Yeah. It’s consistent with the existing portfolio. We haven’t really, I mean, compression feels like it’s kind of floored for the moment, every time I say that, we see more over the last few years, but at the moment, it’s pretty consistent with what we’re seeing across our existing portfolio.
Finian O'Shea: Okay. Great. Thanks so much.
Michael Gross: Thanks Finian.
Operator: [Operator Instructions] The next question comes from the line of Bryce Rowe with Hovde.
Bryce Rowe: Thanks. Just one quick follow-up here a lot of discussion about the left side of the balance sheet, just wanted to ask about the right side you guys have a pretty good chunk of your liability structure tied up in fixed rate unsecured notes as you as you noted, Michael, you’ve got some coming due next year. Just curious kind of what the appetite is to maintain that level or percentage of unsecured notes and would you be willing to maybe take the revolver higher and reduce the level of unsecured from where it is now? Thanks.
Bruce Spohler: I think we’d like to take the level of revolver higher given that we’re growing. We’d also like to refinance fixed rate notes at more attractive terms and bring down our cost of capital that way as well. So you should expect that our cost of capital hopefully comes down between usage of the revolver and terming out some of the notes that come due next year.
Bryce Rowe: Great. Thanks, Bruce. Appreciate it.
Bruce Spohler: Thank you.
Operator: I will now turn the call back over to Michael Gross, Chairman and Co-CEO for closing remarks.
Michael Gross: No closing remarks at the time, but thank you for your time and we look forward to speaking to those of you who are also engaged in SUNS in six minutes. Thanks. Bye-bye.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.